Operator: Good afternoon and thank you for attending the Alta Equipment Group Fourth Quarter and Full Year 2023 Earnings Conference Call. My name is Matt and I'll be your moderator for today's call.  I'll now like to turn the call over to Jason Dammeyer, Director, SEC Reporting and Technical Accounting with Alta Equipment Group.
Jason Dammeyer : Thank you, Matt. Good afternoon everyone, and thank you for joining us today. A press release detailing Alta's fourth quarter and full year 2023 financial results was issued this afternoon and is posted on our website along with the presentation designed to assist you in understanding the company's results.  On the call with me today are Ryan Greenawalt, our Chairman and CEO; and Tony Colucci, our Chief Financial Officer. For today’s call, management will first provide a review of our fourth quarter and full year 2023 financial results. We will begin with some prepared remarks before we open the call for your questions. Please proceed to Slide 2. Before we get started, I’d like to remind everyone that this conference call may contain certain forward-looking statements, including statements about future financial results, our business strategy and financial outlook, achievements of the company and other non-historical statements as described in our press release.  These forward-looking statements are subject to both known and unknown risks, uncertainties and assumptions, including those related to Alta’s growth, market opportunities and general economic and business conditions. We have based these forward-looking statements largely on our current expectations and projections about future events and financial trends that we believe may affect our business, financial condition and results of operations.  Although, we believe these expectations are reasonable, we undertake no obligation to revise any statement to reflect changes that occur after this call. Descriptions of these and other risks that could cause actual results to differ materially from these forward-looking statements are discussed in our reports filed with the SEC, including our press release that was issued today.  During this call, we may present both GAAP and non-GAAP financial measures. A reconciliation of GAAP to non-GAAP measures is included in today’s press release and can be found on our website at investors.altaequipment.com. I will now turn the call over to Ryan.
Ryan Greenawalt : Thank you, Jason. Good afternoon everyone, and thank you for joining us today. I'll begin with a quick overview of our fourth quarter and full year 2023 results. Then provide a current assessment regarding the business conditions in our end user markets, followed by an update on our growth strategy. After I conclude, Tony will provide a detailed analysis regarding our financial and operating performance.  I am pleased to report we achieved record results in 2023. Our performance would not have been possible without the complete dedication and solid execution by the Alta team. I sincerely thank you. The momentum in our business clearly continued during the fourth quarter as we capitalized on the broad based strength in our end user markets. Total revenues grew 21.7% over the year ago quarter to a quarterly record of $521.5 million for the fourth quarter and increased 19.4% to $1.9 billion for the year.  Revenues for our construction segment increased 22% to $328.1 million in the fourth quarter and 12.9% to $1.1 billion for the year. Material handling revenue increased 16% to $179 million for the quarter and 19.4% to $681.5 million for the year. New and used equipment sales grew 25.5% from $817.2 million in 2022 to just over $1 billion this year. This is an annual record and as we celebrate this milestone we should also highlight a versatility and resilient of our business model, which generated over $519.6 million in high margin parts and service revenue across the business segments in 2023, an increase of 17.7% year-over-year.  Alta is unique in the breadth of our product offerings, the scale of our addressable market and the defensiveness of our market position. Our focus is on driving and sustaining long-term equipment field population and driving aftermarket support penetration to an increasingly diversified customer base. Providing our customers with best-in-class support to keep their fleets highly utilized with as little downtime as possible remains the central focus of our operations. At the end of the year, we had over 1,300 factory trained and certified revenue producing technicians.  Today's investor presentation includes on Slide 10 an overview of some of the attractive features of Alta's equipment dealership business model, including protected exclusive areas of primary responsibilities or APRs, exclusive rights to OEM replacement parts, proprietary diagnostic software to service the field population, warranty repair work that must be performed by authorized dealers, factory training to assure expert product support capabilities and annuitized product support revenue streams with pricing power given exclusivity for replacement parts and scarcity of skilled labor. Another important differentiator of a dealer integrated rental business is our ability to utilize our widespread and professional sales team to get the most return on retailing used rental equipment to customers rather than simply offloading to an auction house. This allows us to keep the valuable aftermarket returns from our parts and service expertise within our APRs. Not to downgrade our rental capabilities, but I want to reiterate that our business' core competency lies in our operational excellence as a top performing dealer providing full scope equipment solutions to our customers through professional sale and service capabilities.  I'll now talk about current business. Our outlook for 2024 is positive as there are multiple opportunities for continued growth in our business segments and expansive end user markets. Most importantly, the positive sentiment from our customers is continuing into this year. Visibility is encouraging for our construction and material handling segments as supply chains have normalized and we have strong equipment orders already on the books for the year. As a result, demand for our product support services will grow as well.Industry related data also supports our view for this year. Total U.S. construction contracts increased significantly year-over-year in January. Non-residential construction starts are forecast to increase from $441 billion last year to $458 billion in 2024. Federal infrastructure spending is also expected to accelerate as many of these major projects have yet to break ground and our and contract awards are strong in both the Northeast and Florida where we operate. Additionally, state DOT 2024 fiscal year budgets are more than 10% higher than last year. The onshoring trend in manufacturing continues in much of our Northern territory. And general contractors and subcontractors are extremely busy with full backlogs of lack of manpower remaining an ongoing challenge.  In the Material Handling segment, where we enjoy arguably the most diverse end market exposure of any industry. We are focused on the themes of labor and energy efficiency as the market settles in and what were record levels pre-COVID. We are continuing to make progress on expanding our market share in the warehouse market along with Hyster-Yale and our allied product lines. Additional sales in this market segment increase our opportunity to sell advanced technology solutions leading to more complex and profitable customer relationships for both dealer and OEM. Our diversified growth strategy continues to prove very successful as proven by our financial and operating growth over the last three years. We have demonstrated our ability to significantly expand our business organically through acquisitions and entering new end user markets. During 2023, we achieved organic growth of 12.3% by increasing our market share, expanding our product portfolio and entering new territories. We will continue to expand our geographic footprint and product portfolio in our existing business segments by leveraging our existing OEM relationships and developing partnerships with new manufacturers. Our three acquisitions last year are representative of our strategy.  In previous quarters, we discussed our acquisition of M&G Material Handling, expanding our lift truck market coverage in New England. In October, we acquired Burris Equipment Company, a premier supplier of compact construction and turf equipment with three locations in Illinois. This acquisition gives us further coverage and market penetration in the Metro Chicago market and further growth opportunities in the highly fragmented compact segment of the construction equipment market.  In November, we acquired Ault Industries, a privately held Canadian equipment distributor with locations in Ontario and Quebec. This was Ault's first investment in Canada for our construction equipment segment. Ault has built a high performing equipment dealership in the aggregate and mining space, a growing end market in that region. Also in November, we established a new OEM relationship with CASE Power & Equipment, which allowed also to enter the Central and Western Pennsylvania markets, initially serving Pittsburgh and surrounding areas with plans to further expand into Central Pennsylvania in 2024. Serving general construction, infrastructure and residential and non-residential construction contractors, both locations will sell and service the full lineup of case heavy, compact and subcompact equipment and attachments. The 16 acquisitions we completed since going public in 2020 are major contributors to our success providing $537 million in revenue $65 million in adjusted EBITDA. We are continuing to pursue accretive acquisitions and opportunities which would further expand the scale and scope of product offerings for our customers. We also remain committed to our e-mobility strategy to leverage the emerging alternative energy related opportunities in the commercial trucking segment. In addition to our current initiatives of Class 8 tractors, we're also evaluating additional segments including both heavy duty Class 6 and 7 and light duty Class 3 through 5 EVs. Our approach aligns with our current field population strategy and include sales parts and service and turnkey charging infrastructure solutions.  In closing, 2023 was an outstanding year for our business and we are focused on continued growth, profitability and balanced capital allocation. Lastly, we strive every day to foster a culture of empowerment, accountability and opportunity, and we rally around the shared purpose delivering trust that makes a difference. I want to, again, thank our employees for their dedication and delivering trust to our customers, our business partners and to our valued shareholders. Our shared purpose is at the foundation of our corporate culture, which is ultimately what makes also the premier equipment dealership platform we are today.  I'll now turn it over to Tony to discuss our financial performance in more detail.
Tony Colucci : Thanks, Ryan. Good evening, everyone, and thank you for your interest in Alta Equipment Group and our fourth quarter and full year 2023 financial results. We're proud of our 2023 performance and before I start, I first want to congratulate my Alta teammates for their hard work and dedication to the business and to our customers in 2023. Our results mirror our culture, which is grounded in our guiding principles and all of us continuously developing our one team approach to the business day in and day out. Thank you to all of Altas employees, which now numbers 3,000 strong and ranges from Illinois to Maine and from Florida to the northern regions of Quebec and Ontario.  My remarks today will focus on three areas: First, I'll briefly present our fourth quarter results, which will include specific comments on what was strong operating cash flow in Q4. Second, I'll present and comment on our full year 2023 results, focusing on several key themes and metrics for the year. Lastly, I'll provide guidance for 2024 adjusted EBITDA and discuss the assumptions and puts and takes that underpin the annual guide. As part of that discussion, I'll provide some insights into Q1, given where we are on the calendar.  Before I get to my talking points, it should be noted that I'll be referencing slides from our presentation throughout the call today. I'd encourage everyone on today's call to review our presentation and our 10-K, which is available on our investor relations website at altg.com. With that said, for the first portion of my prepared remarks and is presented in Slides 12 to 21 in the earnings deck, fourth quarter performance.  For the quarter, the company recorded record revenue of approximately $522 million, which is up a notable $93 million versus Q3 of -- Q4 of last year and represents the first $500 million quarter in the company's history. $522 million of revenue for the quarter reflects a 17% organic increase over Q4 2022 making for another comparatively strong quarter against increasingly more difficult comp. Specifically equipment sales, which are usually very strong in Q4 and we're again this year increased $70 million for the quarter to $336 million. Just to pause here for a moment, because the unprecedented level of equipment sales were a highlight for the quarter. For the year, we placed approximately $205 million more equipment into field population when compared to 2022. Why is that important? Recall that in Q1, we presented information to investors that supported that for every incremental dollar of equipment we are able to sell into field population that we could expect approximately $0.50 of annual high margin product support revenue over time. So it follows that in a year where we sell $205 million more equipment that we did in the previous year, we have great confidence that additional product support revenues will be there for years to come.  Moving on to product support, our products -- our parts and service business lines. In spite of the quarterly comp hurdles getting more difficult, product support revenues were approximately $130 million for the quarter, up $11.5 million or over 10% organically versus last year.  Turning to rental. Our rental business held up well for the quarter, given we typically see a falloff sequentially as we move from Q3 to Q4 each year. Rental revenues were a solid $55 million for the quarter. From an EBITDA perspective, we realized $49.7 million in adjusted EBITDA for the quarter, which is up $7 million from the adjusted level of fourth quarter 2022 and $3.6 million on a pro-form a basis. So all told, an extremely strong quarter to end the year from a sales and EBITDA perspective with the quarter coming in on the high-end of our expectations, again primarily due to the large beat in equipment sales.  From a cash flow perspective, the quarter was extremely strong as free cash flows from operations, as we define it on Slide 32, were approximately $50 million for the quarter, as we benefited not only from the strong P&L performance but from the leveling off of inventory and rental fleet levels versus Q3. The level of operating cash flow for the quarter, in our view, is indicative of the company's steady state cash flow capability. Importantly, the cash flow for the quarter allowed us to deploy $45 million of capital into accretive Burris and Ault acquisitions without impacting liquidity and also allowed for some deleveraging in the quarter. Truly was an excellent quarter for the balance sheet.  Now turning to our results for the full fiscal year. The company recorded $1.88 billion in revenue in 2023, as we are now pacing toward $2 billion of revenue on a pro-form a basis. On the adjusted EBITDA line, the company achieved $191.4 million in 2022, coming in at the high-end of our latest iteration of our guidance for the year. Importantly, the $191.4 million of adjusted EBITDA converted into approximately $122 million of economic EBIT, our version of steady state unlevered free cash flow. On average invested capital of approximately $800 million in 2023, we finished the year at just over 15% economic EBIT yield or return on invested capital, a key metric that measured our capital -- measures our capital deployment decisioning and directly impacts management's compensation.  Moving on to equity cash flows and as depicted on Slide 15 of our investor deck, on an adjusted pro-forma basis, the business is now generating approximately $92 million in annual levered free cash flow to common equity. In our view, this metric is indicative of economic earnings power associated with driving equity value for shareholders ex growth CapEx. More on this metric momentarily.  A quick check-in on the balance sheet as of year-end and as depicted in Slide 16. We ended the quarter with approximately $219 million of cash and availability on our revolving line of credit facility with $36 million suppressed. From a leverage perspective, as mentioned previously, we were able to delever in the quarter as total leverage came in at roughly 3.7x 2022 adjusted pro-forma EBITDA, down 2/10 from last quarter despite the two acquisitions.  Lastly, on the balance sheet, I wanted to note the quarter-over-quarter flattening in our inventory and rental fleet levels, as we ended Q4 at $495 million of inventory and $590 million of rental fleet ex M&A. Both of these figures are effectively flat versus where we ended Q3 2023. As mentioned in previous calls, as equipment supply chains began to normalize at the end of 2022, Alta, like many other industry participants saw an unprecedented level of inventory replenishment in the first half of '23, which put pressure on working capital and led to redeployment of floor plan lines. As I mentioned on our Q2 call, we expected the pace of this replenishment to moderate significantly in the second half of the year and we have seen just that. Before I leave 2023, I would focus participants to Slide 23 of today's presentation that we presented last quarter, which recaps where the company stands today versus where we were just four years ago at our IPO in February of 2020. I will let the recap speak for itself, but did want to note for investors that the company is now generating $92 million of free cash flow to equity on an annual basis, ex growth CapEx or approximately $2.84 per share as of year-end. This compares to $0.74 per share on this metric at the time of the IPO. So in summary, we've grown this metric 4x in four years with minimal dilution along the way, yet we continue to see our stock price to not be reflective of this progress. We are cognizant of this disconnect to what we believe to be fair value for our equity. And as we head into 2024, this disconnection may inform our capital allocation decisioning as we balance potential stock buybacks versus what is presented to us via the M&A pipeline. Finally, for the last area of my prepared remarks, I would like to discuss the 2024 adjusted EBITDA guidance, which was included in today's earnings release. In terms of the guidance range itself, we expect to report $207.5 million to $217.5 million of adjusted EBITDA for the full year 2024.  A few observations on the guide. First and foremost, as Ryan mentioned in his remarks, we continue to feel positive about the overall demand backdrop in our customer base and we believe the industry data supports our sentiment. Second, we again expect to drive organic growth in product support revenues in 2024 by an amount that we expect will be in line with our historic performance in parts and service. While adding skilled technicians is continually more difficult year in and year out, organic growth and product support is something we expect to rise to the challenge on and to rinse and repeat annually. And the $205 million of incremental field population generated in 2023 supports our views and product support for 2024. When it comes to rental, our expectation is to at least hold rental utilization figures at 2023 levels. Relative to rental rates, much like the rest of industry participants, we aren't expecting much more than inflationary increases in 2024. Most importantly, when it comes to our rental business, given our rent to sell business model, we have no plan to increase the size of the rental fleet in any material fashion in 2024 like we did in 2023. That said, investors should expect quarter-to-quarter ebbs and flows in the rental fleet size throughout the year, which is in line with our history. Lastly, on the potential for equipment sales in 2024. First, we sold $1.1 billion of equipment in 2023, as we along with the equipment dealership industry overall, saw record levels of sales this year. Make no mistake, this year's comps on equipment sales for our industry will be as challenging as they've ever been. As OEMs and industry analysts alike may be calling for flattish or even down equipment sales this year, we'd like to think that given our position in the market and the opportunities ahead of us to take share in certain regions that we are hopeful to at least hold, if not exceed, 2023 equipment sales levels this year. To close on the commentary on 2024 expectations. I wanted to give some insights into Q1 given where we are in the calendar. First, Q1 given seasonality has long been our most difficult quarter of the year and given our experience, Q1 performance hasn't necessarily informed performance over the remainder of the year. With that as a backdrop, a couple things to note first investors as to what to expect for this quarter.  First, as it relates to Ecoverse, which had a record debut under Alta’s ownership in 2023, and they had a record quarter in Q1 of 2023. Recall that Ecoverse is a master distributor selling equipment to sub dealers and in early 2023, as supply chains were normalizing, Ecoversus sub dealers were restocking, which led to its record first quarter. Currently, at this point in the quarter and given that sub dealer's inventories are back to normal levels, we don't expect the Ecoverse to repeat what they did in Q1 of 2023. That said, the expectation for the full year 2024 is that Ecoverse will come close to matching 2023’s performance. Second, as mentioned previously, we had an unprecedented Q4 on the equipment sales line, which exceeded internal expectations as customers took advantage of year end tax depreciation rules, leftover budgets and were generally more available to our sales team after the construction season to assess and replenish their fleets before the new year.  In summary, the record activity in Q4 in equipment sales led to a pull forward of equipment sales in December and a hangover that impacted January. That said, we are confident that the January hangover was isolated as we saw snap back in February and are experiencing a solid March, as our parts service and rental businesses are all very busy and on track. To be clear, the larger demand framework for 2024 that we have referenced here today are all solidly in place.  To summarize, we are confident in the annual guide and in our long-term prospects, especially given all of the aforementioned factors, including the increased field population that was generated this past year and we are committed to execution and having 2024 be another year of growth for Alta Equipment Group.  In closing, I again want to thank all of my teammates at Alta for your commitment to our business and to each other throughout 2023. You embodied our guiding principles in 2023 and our results are reflective of that. To our investors, we appreciate your support and confidence in 2023 and we look forward to driving shareholder value in 2024.  Thank you for your time, and I will turn it back over to the operator for Q&A. 
Operator: [Operator Instructions] The first question is from the line of Matt Summerville with D.A. Davidson. 
Matt Summerville : Couple questions, I want to be clear, Tony. Can you sort of talk through your capital deployment priorities for ‘24 in the context of not only the stock price of course as you referenced, but what specifically you guys are seeing in the M&A market from a multiple standpoint, if you still feel you can do leverage neutral acquisitions or leverage accretive like you did in Q4. And then how you're thinking about maybe just using this year's cash to reduce leverage sort of knowing that the market's appetite for leverage is not maybe what it was a couple of years ago? And then I have a follow-up. 
Tony Colucci: On the first piece here on capital allocation and in multiples, I think it would be to say that we'd be able to do deals sub 3, 3.7 like we did in Q4 there, and that was really the Burris acquisition. We were able to get some equity into the Ault deal, which was great to partner up with that entrepreneur that wanted to join forces with Alta. And so it was leverage accretive, to be sure and also accretive to shareholders. But I don't think we'll see deals in the 3x range. It wouldn't be appropriate for us to say that would be something that would continue. What I will say is we still believe that there is deals out there that look very familiar -- that look very similar to how we've executed in the past. The $537 million of revenue, $65 million of EBITDA that we bought at 4x to 5x, we still think is in front of us. And the pipeline itself continues to be active.  Now some of the growth, as we've talked about before inside of each of our major dealer networks is sort of tempered the bigger you get. But that's why relationships with CASE, as Ryan mentioned and some of these other OEMs that we're partnering with, Ault is partnered with a company called McCloskey, which we hope to do more with on and on. So we still think that the pipeline could be accretive relative to where we trading at but to the extent it's not or to the extent that the stock is depressed relative to what we think is fair value, we wouldn't hesitate to dip into the buyback program that's here and in place.  In terms of funding of M&A deals and taking on more debt, you can see that we delevered in the quarter after what I've been referring to as the great replenishment, right, which was an increase of organically $80 million some odd in rental fleet and $2,300 million give or take of inventory. That certainly we don't expect this year. So we do expect to maybe have some excess cash flows that we can continue to delever with, again, over the entirety of the year, maybe not necessarily quarter to quarter, especially in Q1. And so we still think that we would be able to fund M&A deals to the tune of $10 million or $15 million of EBITDA with debt, anything beyond that in terms of size and scope, where it would be something sizable, we would be mindful of leverage wherever we're at in the calendar before we funded a larger deal with all debt. We want to be mindful of leverage. So long answer, Matt. I apologize for that but hopefully it's helpful. 
Matt Summerville : No, that was comprehensive. Maybe Ryan, if you can just take a minute and get a little bit more granularity around you mentioned material handling indeed being more diverse business segment. Just maybe kind of a walk around what you're seeing in terms of the key end markets and maybe highlight what sounds like is a more concerted go forward effort being put into, in particular, the warehousing market? 
Ryan Greenawalt: I'll start with the first piece of that which is the question about the diversity of the end markets. So we do believe that with our product portfolio, our end market exposure is as diverse as it could be. It's everything from the supply chain and raw materials that go into manufacturing to in our upper Midwest footprint a lot of manufacturing and advanced manufacturing all the way through to obviously distribution and logistics. And the focus on the warehousing market is something that we are doing right alongside Hyster-Yale. They've been putting a lot of effort into product development for that end market and it's fast growing end market. And it's an opportunity for us to get closer to our customer to help them take costs out of their business through better labor utilization. And the price point of those trucks tends to be lower. It's a bit more of a high volume, lower price point per unit but it still has the high touch aspect of reoccurring revenue through planned maintenance and contract maintenance. And then Matt, there was a second part to your question.
Matt Summerville: Yes. I was more looking for just some color on some of the end market trends you're seeing across whether it be automotive, food, beverage, medical et cetera, the places you play in material handling.
Ryan Greenawalt : Just in terms of demand, I would say that the demand is healthy. I referenced in the call that it's kind of leveling off at what pre-COVID would have been record levels, but it is coming off of the peakiness of COVID. Last year, we were coming off record back -- record bookings in the previous year, so that ended up being record deliveries for us, which is reflected in the revenue. Going forward, we see a plateauing of that phenomenon, which is why we're focused on really market penetration and driving share in the faster growing end of the market, which we think is the warehouse market. 
Operator: Next question is from the line of Steven Ramsey with Thompson Research Group.
Steven Ramsey: Maybe to continue the line of thought on end markets, some of the large rental companies have talked about local projects growing but at a more modest pace, while mega projects are ramping up. You talked about some of the highway work, state DOT funding that being strong. But curious how you think about the local more normal sized projects versus the large mega projects impacting your results this year?
Ryan Greenawalt : Steven, I'll take that. We've historically tried it's really difficult for us to delineate by market what's kind of federally stimulated versus local demand. But I think what we're seeing is there is a little bit of a -- it's not a pullback, but a lengthening of the sales cycle for kind of your general contract or with core product that is not true on the big visible highway type jobs. And I think we're seeing one of the things that's true is that labor utilization is the key to construction right now.  You can't stimulate something when everyone's already got a job. You can't sell a excavator whenever no one has an operator to put in the seat. And so any softening that we're seeing, kind of the non-res, just general construction I think that you're seeing that there is like this kind of pent-up demand for big projects that have been stalled by all the local demand. And that's the way that I would think. We always talk about it as innings to the cycle that we haven't really been in a trough, we've been more in this, we keep adding innings to the game. And I think that phenomenon's playing out with some of the pivot to larger type jobs right now.
Steven Ramsey: And then I'm curious on the complimentary service lines, curious how those performed in the fourth quarter and what is the outlook for that unit in 2024?
Ryan Greenawalt : Just so I have it, where are you are when you say ancillary service lines, I just want to make sure we answer your question appropriately. Define that for me.
Steven Ramsey: Sorry. More of the complimentary products, Scott Tech, PeakLogix, Baron, where those companies, how those are expected to perform in 2024? 
Ryan Greenawalt : s Yes. I mean, PeakLogix, we've said that they and I think the whole industry, it was white hot. When we bought that business, it was that combined business, which is now PeakLogix, Scott Tech and Peak are now kind of combined one and the same but call it revenues of roughly, $30 million, $35 million combined back in 2020. That doubled more than doubled in ‘21 and ‘22. And in ‘23, we saw a bit of a pullback, these are larger projects that are probably a little bit more interest rates sensitive because they're larger CapEx projects for our customers. And so if there is a part of our business where we do think that there was an impact of interest rates, it was in that PeakLogix business.  What I will say is PeakLogix was part of the strategy and rationale for that deal was to take us from the JV to the varsity relative to just intellectual capabilities, design build and getting us into some customers that we otherwise would not have. We've been able to do that. And so, judging Peak just kind of on its own without including kind of some of the synergies generated with our legacy material handling business probably isn't fair. So we're still very bullish despite ‘23 kind of being a down year for Peak. And we've got backlog. It's taking customers a little bit longer to pull the trigger.  We think that's interest rate related, but that's how that's going. I will say Midwest mine, just to kind of round it out, I put that the a similar kind of ancillary projects. They're in the aggregate space. It's probably immaterial to our overall kind of revenue line. It's performing very well. And we've definitely generated some synergies with customers or been able to get customers to recognize our capabilities in the larger quarries et cetera. All still running fine.
Steven Ramsey: And then last one from me, your G&A as a percentage of gross profit continues to trend down on a total basis and in both material handling and construction equipment units. Is this expected to continue again next year, this cost discipline of G&A versus GP? 
Tony Colucci: I've got some numbers in front of me, and I'm just going to read them out here. We -- G&A, ex M&A and ex depreciation and amortization, Q2 $105 million, Q3 $107 million and then Q4 here about $111 million again ex M&A. That increase in Q4 is almost going to be exclusively related to the increase that we saw in equipment sales because we have commissions primarily and bonuses on those sales that impacted that line item. So I wouldn't expect Q4 to be indicative of the go forward.  Certainly, we've added some G&A because of the acquisitions. And the way that I think about G&A is a little bit more as a percentage of revenue or EBITDA or -- I'm sorry, gross profit ex depreciation than I would just gross profit overall just because the rental business with so much depreciation in the gross profit line. So I think Q4 is a little bit of an anomaly there at the $111 million. We'd expect that to come down and kind of even out a little bit. 
Operator: Next question is from the line of Steve Hansen with Raymond James.
Steve Hansen: I wanted to go back to your guidance. Not wasn't too sure if it was aspirational or not, but I think you suggested you wanted to hold the line on equipment sales for the year. Maybe just a bit of additional color on there. The comps are difficult, I think, as you suggest but what is the guide assuming effectively on the new equipment side? 
Tony Colucci: New equipment, as we've said since we started doing these calls four years ago, is always as part of the reason we only do an annual guide, number one. And the other part of the reason we don't guide to revenue because as we saw in the fourth quarter, things can really kind of ebb and flow. And sometimes these ebbs and flows are difficult to just project quarter-over-quarter. And the other thing, when we sit down and we budget, we have great confidence in our parts and service lines, or relative confidence, I should say, versus the equipment line item, which can be more impacted by macro trends, interest rates, sentiment, et cetera, et cetera. Now all the things all the signs point toward a strong 2024. As Ryan mentioned in his remarks, DOT budget is looking strong. Talking to our customers who are working on these projects, kind of ready to let it fly here as the spring hits us. And so we feel pretty good. The reason that we feel like we can hold that line rather to maybe being down, and I'll caveat all of this in saying being down a little bit off of peak wouldn't be the worst thing ever, especially given the GPs and how impactful they are to EBITDA relative to rental revenue or parts and service. But that said, we do have some areas of our business where we expect to take share. And that's, I guess, what I would highlight to answer your question specifically.  So we've got places that we've just entered to -- entered into in the past 18 months like Toronto in the metro handling space, where we expect to take share. And there's some other pockets in Upstate New York on the construction side, and the list goes on. So it would be us taking share that could help maybe offset what might be flat to down market.
Steve Hansen: And just as a follow-up to your capital allocation decision for the year, I mean, how do you view that framework between buyback and growth or even deleveraging for that point? I mean, how are you viewing that window right now? I mean, the stock is completely disconnected, I think, as you suggest. Does it not make sense to maybe focus on the buyback and some deleveraging as opposed to more growth? I mean, how are you really thinking about that for the year relative to M&A pipeline?
Tony Colucci: Yes, Steve. We've got a slide in the deck that suggests we're trading at that Ault would be trading at something like 5.8, I think the number is in the deck, forward EBITDA. So that multiple, despite it being something maybe that we feel is not appropriate is still a bit higher than where we've transacted at in the past, in the M&A pipeline 4 to 5. So we still think even if we're trading at 6, there's a turn or 2 of spread there relative to the M&A pipeline. And that's before you get into any sort of synergies or discussions about what we can do with the business versus where it might be today. So, some of it is time. What does the pipeline look like in the over the near-term? And where are we at in the calendar, right? We've talked about Q1 being a little bit rougher. And so we just kind of monitor the situation and kind of on a real time basis are always kind of thinking about that decisioning. The other element that you mentioned was leverage and we also want to be mindful of that. And so especially where interest rates are, we may have had felt differently twoyears ago about that tenant of the framework of this decision because interest rates were much lower. So I'm not trying to evade your answer, but there's all of the different dynamics that come into that scenario. But we still think that M&A would -- we could do M&A in an accretive fashion. Interest rates being higher would suggest we'd want to delever. But if those two things aren't there, then we wouldn't hesitate to buy back.
Operator: Next question is from the line of Min Cho with B. Riley.
Min Cho : Congrats on the strong -- end to a strong year. Couple of questions. In terms of 4Q rental rates, can you talk to kind of what the trends were on a year-over-year basis? And it sounds like for 2024, Tony, I think that you said that you expect it to be pretty flat, excluding any inflationary impact but if you could just confirm that please?
Tony Colucci: Yes. I think I can just to take your question in reverse. I think we can confirm that. We would expect inflationary maybe a little bit more there. So much I want to just point out too though, so much of our rental business is a function of our service prowess. And when we're renting large 40 ton articulated dump trucks effectively customers are renting our technicians in a lot of ways. And so while if there's an asset to be rented that has cost of capital and return on capital, that need to develop a rental rate, we also have this other component of labor that we need to be compensated for. And so, I say that because sometimes we feel like, we may be able to get a premium relative to some of the things that you might see in the industry, what relative to maybe URI talking to rental rates or some of the other publicly traded pure play rental houses.  So maybe we can do a little bit better, but I don't think we're expecting to, I guess is the point there when we talk about the guide. The first part of your question on rates and how they played out in ‘23, I would say mid single-digits is probably where we landed there. I saw something the other day that said the last three years around 20% give or take of total increase in rental rates. I would put us in that category over the last three years, with this year being mid single-digits, maybe a tick north of there.
Min Cho : And in terms of your material handling that side of the business, I know Ryan mentioned kind of a focus on the warehousing, which does tend to be a little bit lower margin, but I would imagine that you're seeing an increased shift into like electrical or electric lifts. I was just wondering how does that impact your margins? Is that more or less positive for your parts and service opportunities longer term?
Tony Colucci : I can take that one as well. We actually have some data in our 10-K or reference in our 10-K Min that the International Truck Association put out some, some data the other day that suggests 67%, 2/3 let's call it of all forklifts sold in the U.S. are electrified. You can probably flip that deal versus gas or diesel or I should say propane or diesel. You could flip that on its head in 20 years ago, something like that. And so, the trend continues, it's leveled off a little bit, but the electrification of forklift has kind of already come to the market. So any impact on our business would be minimal.  What we know just because of cost accounting exercises internally is that we think an electric truck basically yields 65% to 70% of what a gas truck would relative to parts and service. But that's been the case in our business for quite some time. So the further electrification, we'd like to think that we could -- any offset in product support or any impact in product support of any furtherance of electrification in the material handling business would be more than offset by our prowess and charging and alternative energy. And some of these things that are a little bit more cutting edge, lithium prowess and lithium batteries, et cetera.
Ryan Greenawalt : Min this is Ryan. Another thing I wanted to just make sure we correct is that on the warehouse product the margins are actually higher on selling the new vehicle versus rider forklifts. So I'm might have been a misunderstanding there, but less product support yield on electric, but certainly more margin on the front end. 
Min Cho : And then, I guess, just an update on Nikola. Saw that they produced and sold some of their hydrogen fuel trucks and looks like some of their BEV trucks should be kind of back in the market second half, probably not a big impact for you in 2024, but just wondering if you could talk to kind of how you're doing with that relationship? 
Ryan Greenawalt: Yes, I could take that. This is Ryan. So we've been along with our customers patiently waiting for the recall to be executed upon. And as you read, that's going to start in earnest in Q2. What we're really excited about continues to be the -- we think in our marketplace, where our footprint is in the North that the proposition for long haul transportation on battery electric, it's a very narrow strike zone of application relative to the opportunity for longer haul and for heavier duty, which is going to point towards a hydrogen solution. And they've sold their first fleet of trucks. Right now they're focused on California where there's a little bit of infrastructure, but we remain very excited about our strategic footprint. We think outside of the West Coast, where we reside is going to be where there's early adoption of these types of vehicles and we think we're well positioned to be part of it.  But to answer the first part of your question, probably not a huge material impact this year. It's going to really start in the second half. And this recall on the electric side feels like it costs us almost a calendar year of momentum, but it's not dead. There's still a building pipeline of demand and we're hopeful that they can execute on this next piece of the strategy, which is to get those trucks back in the field. 
Operator: Next question is from the line of Ted Jackson with Northland Securities. 
Ted Jackson: Congratulation on the quarter and year. So my first question is rolling over to kind of M&A pipeline. I'm just kind of curious when you're looking through the opportunities there in front of you, are you seeing more opportunity on the construction side or on the material handling side? And then within those opportunities, is it more kind of tuck-in and filling in, you would, your geographic footprint? Or is it pushing you into new geographies? It's question number one. Two parts. 
Ryan Greenawalt : Yes, I'll take the first part of that because it's pretty easy to delineate material handling versus construction in terms of the growth strategy. With Hyster-Yale, the lines of our exclusivity are much firmer. And we can't compete with any other dealer network globally outside of we have our APR that's exclusive with them and that's our APR for material handling for forklifts kind of that piece of the business.  Our growth with Hyster-Yale, there is potential growth with them. We're the second largest dealer in the world for Hyster-Yale. Today, we cover north of 20% of the addressable market for U.S. and Canada. And they've been very open about trying to get their dealer network down to a manageable size and there's still there's a little room to go there. And there's also the opportunity to grow internationally, which we started with the investment in Canada with YIT.  On the construction side, it's a much broader category as what we define as construction equipment. It's everything from the small, turf and agricultural type things that we sell in Northern Michigan through our Kubota dealership and in areas of Chicago, all the way up to the link belt cranes that we represent in Michigan. And so it's a much more open playing field. There are many more types equipment dealers. It's a much more, I guess, fertile area for consolidation for us today. We're in the later innings of that consolidation strategy and material handling and we're just getting started in construction, I guess, is the way I would characterize it.
Ted Jackson: Shifting over next question, kind of sticking in the broader themes. I was at Modex this week and, I got a couple of questions around things that came out of that. One is spending three days there. It was amazing to me how much demoing, how much floor space was taken up by automation and robots. And clearly, that's a trend. It's not that it's not much of a secret. But as you think about the move towards automation and the move towards more robotics, how does that-- does it challenge you in terms of your ability to find the kind of technician that would service that? Is it does it make it harder for you to recruit? I mean, I could see that being the case. I could see it making it easier for you to recruit. And then kind of my tie in question to that is, is that I know that you guys have some exposure and do some distribution around some robotics and some automated products. From where you sit is where you sit is where are we within kind of the deployment of that kind of technology? I mean, I know we're early innings, but I mean, is this stuff actually really getting deployed. What kind of in your material handling's world, what kind of like, how much of the pie does it take?
Ryan Greenawalt : Let's start with the first piece of the question. So we see automation and robotics as an opportunity in our core business segment, which is as we highlighted today, we really think it's all about product support in the aftermarket. And we think that that same thing will play out in robotics and then other advanced material handling solutions. The question of technical aptitude or ability or how recruitability is actually it's the second -- it was the second thing position you positive, which is that it's actually easier. It's harder to train someone to be a fully functional heavy diesel engine mechanic that works on all types the breadth of heavy equipment that we have in our portfolio. That's harder to train and takes longer to train than some of these electric material handling machines, which is there's less diagnostics. It's going to be more component replacement. It's just it's a different skill set. It's going to be more happening with a laptop than with heavy tools and machinery, I guess, is the best way to delineate the two.  Then just what's the sorry, Ted there was a multipart question. What was the second question?
Ted Jackson: Well that goes into, like you know, I mean, I've seen some of your all marketing literature that you have around it. And you guys do have product offerings in your -- what do yo call it? 
Ryan Greenawalt : Where we're at in the lifecycle. It's just getting started.
Min Cho : [indiscernible] robotics and automation.
Ryan Greenawalt : to robotics and automation.
Tony Colucci: It were early innings. We're early days and there's a lot to come and we we're well positioned, but we're just scratching the surface. And we're excited about that we have allied lines and we have some parts of our portfolio that are more emerging technologies. But what we're really excited about is what Hyster-Yale's working on that they're our flagship partner and you can see their commitment to that market and being innovators. And we're excited to be part of that. And we're feel like us in a couple of our other peers in their dealer network are really well positioned to capitalize on that.
Min Cho : I spent about an hour and a half in their booth this weekend. They had a good story and they had a nice demo of some stuff in there. My final questions, which are really just kind of nitpicky and really for Tony, but this, Tony in ‘24, you hit part of it with regards to what you're expecting for rental equipment, but what's your CapEx for ‘24 going to be ex-rental?
Tony Colucci : $10 million is a good number for that figure. This would be for things like leasehold improvements at a branch, parking lot, a new roof this kind of stuff. Refurbishing office space if needed, cranes, et cetera. $10 million, not a bad is a -- is a good number there.
Min Cho : And then my last question, which is really nitpicky is I just -- it's more out of curiosity. On the cash flow statement, what is gain on bargain purchase of business?
Tony Colucci: Gain on bargain or gain on bargain purchase is brought to us by general accounting principles and fair valuing of assets in purchase price allocation. It effectively is saying, Ted that the assets that were purchased in the Burris transaction were worth more than we paid for it. And there's obviously judgment that comes into that different factors that I won't get into, but that's what that was.
Min Cho : Well again, congrats on the quarter in the year. I look forward to 2024.
Operator: Thank you for your question. There are no additional questions waiting at this time. That'll conclude the conference call. On behalf of the company, thank you for your participation. You may now disconnect your lines.